Operator: Hello and thank you for standing by. My name is Nicole and I will be your conference operator today. At this time, all participants are in a listen-only mode. After the prepared remarks, management will conduct a question-and-answer session and conference participants will be given instructions at that time. As a reminder, this conference call is being recorded. At this time, I will turn the call over to Makela Taphorn, Director of Management Reporting at Artisan Partners.
Makela Taphorn: Thank you. Welcome to the Artisan Partners Asset Management business update and earnings call. I am joined today by Eric Colson, Chairman and CEO and C. J. Daley, CFO. Before Eric begins, I would like to remind you that our earnings release and the related presentation materials are available on the Investor Relations section of our website. Also, the comments made on today's call and some of our responses to your questions may deal with forward-looking statements which are subject to risks and uncertainties. Factors that may cause our actual results to differ from expectations are presented in the earnings release and are detailed in our filings with the SEC. We undertake no obligation to revise these statements following the date of this conference call. In addition, some of our remarks made today will include references to non-GAAP financial measures. You can find reconciliations of those measures to the most comparable GAAP measures in the earnings release. I will now turn the call over to Eric Colson.
Eric Colson: Thank you Makela. And thank you to everyone for joining the call. This is our 17th quarterly update call since our IPO in March 2013. On the prior 16 calls, I have said high value-added 63 times and I have said degrees of freedom 74 times. If I follow my script, you will hear those words at least another 15 times on this call. We emphasize high value-added investing because it is fundamental to who we are as a firm. Since our founding in 1994, Artisan Partners has been committed to partnering with talented investment professionals to launch and manage investment strategies that add significant value for our clients and investors. As part of that commitment, we work to provide our investment teams with the degrees of freedom they need to add value, manage risk and differentiate themselves from others. Over time, we have evolved through investment guidelines of our existing strategies to create greater flexibility with respect to geography, market capitalization, concentration and cash holdings. Between 2007 and 2010 we launched our three global strategies which have provided our growth, global value and global equity teams with broad flexibility to invest across the world and market capitalization spectrum. And over the last three years since our IPO, we have added three new investment teams, each of which use greater degrees of freedom to generate alpha and manage risk. On today's call, I will review the new teams and the progress they have made. Notwithstanding all the headlines about asset switching from active to passive, we believe there is considerable client and investor demand for differentiated high value-added investment strategies Many of the active products that are being replaced were not designed to depart too much from an index and they have not evolved to allow for greater differentiation. Investors continue to shift out of these constrained active strategies in favor of indexed products that provide asset classes and style exposures at a lower price. At Artisan, by providing our investment teams with degrees of freedom, we allow them to differentiate themselves from and value relative to less expensive indexed products. We believe that sophisticated investors will continue to allocate assets to these types of strategies and that offering these strategies within our firm's culture and environment will remain compelling to the clients and investors that we serve. Slide two summarizes our newest team, the Artisan Thematic team. Portfolio manager Chris Smith joined Artisan Partners in October of last year from Kingdon Capital. Over the last six months, we have worked with Chris to build the Thematic team and prepare the launch of the team's first strategy. Both Nitin Gupta and Matt Plotkin previously worked with Chris and joined Artisan shortly after him believing in his investment philosophy and process and believing in Artisan's investment culture. For the remaining analysts, we met with more than 50 people for each position. We are focused on finding differentiated thinkers who would be a good fit for Chris's investment philosophy and that's was exactly what we found in Noel Culhane and Mike Abrams. Matt Plotkin's role in risk management is also a differentiator. He is charged with maintaining the discipline of portfolio of construction, ensuring the position sizes are risk-adjusted based on valuation and earnings differentiation. He is also responsible for understanding and managing correlations and factor risks within the portfolio to ensure that the risk the team takes are those they intend to take. This is a systematic approach to risk management embedded directly within the investment team. Jason Gottlieb, our new COO investments, has been instrumental in helping Chris and the Thematic team with people, process, resources and early marketing. As with all of our teams, we will hire a distribution professional who will be dedicated to the Thematic team limiting the amount of time the team spends on marketing and allowing them to focus primarily on investing. We are currently interviewing candidates for this role. Early this week, the Thematic team launched the Artisan Thematic Strategy. The strategy provides the Thematic team with broad flexibility to concentrate capital behind names exposed to multiyear trends, invest that across market capitalization and geographies and use multiple instruments to generate returns and manage risk. We expect the team will also launch a long/short equity fund in the not-too-distant future. Turning to slide three. We established the Artisan Credit team with the addition of portfolio manager Bryan Krug in 2013. In March of this year, the team's first investment strategy, High Income asset were earmarked. Before, I discussed the strategy's performance, I want to highlight how the credit team uses degrees of freedom within the high-yield universe to generate differentiated returns. Like all of our investment team, the Credit team has a grounded investment philosophy and process. The team's fundamental credit research focuses on business quality, fundamental strength and flexibility, downside analysis and value identification. While process driven, the team also injects significant judgment into its decision-making both at the level of individual credits and at the portfolio construction level. As you see on the left side of the page, the team's high income portfolio consists of three categories. Core investments are those that the team views as lower risk and a source of liquidity. Spread tightening investments consists of credits the team believes will improve or are misrated by the credit rating agencies. Often spread tightening investments reflect the credit team taking an out-of-consensus view. Lastly, opportunistic investments include opportunities presented by market dislocations or potential catalyst driven returns. As you can see by the range on the page, the Credit team has broad flexibility to position the high income portfolio across three categories depending on the team's conviction, valuation and supply of opportunities. In addition, the team has the freedom to use multiple instruments to express their views and position the portfolio including bonds, loans, revolvers, derivatives and equities. On the right side of the page, you can see the team's investment in loans over time. The Credit team's ability to apply judgment within their process, take a differentiated view through portfolio construction and express an investment thesis with multiple instruments is exactly what we mean when we talk about degrees of freedom. On slide four, you can see the success the Credit team has had so far. In March, the High Income Strategy passed its three year mark. Since inception, the strategy has generated average annual returns of almost 7% net of fees compared to 4.62% for the strategy's benchmark index. On the third anniversary, the Artisan High Income Fund received a five star overall rating from MorningStar and was ranked in the first percentile at its MorningStar peer group. The strategy finished the first quarter with $2.1 billion in AUM, the most AUM of any of our team's initial strategy at the three year mark. To-date, most of the high income strategy's AUMs has been sourced through our intermediary distribution channel. With a three-year track record, we believe there is a good opportunity to broaden the asset base with institutional clients. The Credit team is also working on the development of a second investment strategy which will further expand the team's degree of freedom. The Credit team's early success is primarily a product of the team's talent and efforts. The successes also demonstrates the strength and flexibility of our business model and the people at Artisan Partners. When Bryan joined the firm, we were able to efficiently and effectively buildout fixed income operations and we have leveraged our brand and intermediary distribution channel to raise assets for the team at a record pace. We have demonstrated that we continue to evolve as a firm and that our platform works beyond long-only equity investing. Slide five highlights our Developing World team which portfolio manager Lewis Kaufman founded two years ago in the first half of 2015. The Developing World team take differentiated approach to emerging markets investing. The team believes in the long-term growth opportunities in the developing world but does not limit itself to companies domiciled in emerging market countries. Instead, the team asks whether a company has the opportunity to benefit from rising demand in emerging markets. If a company does, then it's in the team's investable universe. Examples of these types of companies are Facebook and Visa in the U.S. and Unilever in the U.K. Including these types of companies within the team's investable universe increases degrees of freedom and thereby increases the team's ability to generate outcomes that are differentiated from peers and the index. Like the High Income strategy, the Developing World strategy is very difficult to replicate with market cap or factor weighted indexes. Over the last year, the Artisan Developing World strategy has participated in the emerging markets rally and returned over 19% net of fees compared to about 17% for the emerging markets index. Prior to the emerging markets rally, the developing world strategy provides solid downside protection returning about negative 8% net of fees between the strategy's inception at March 31, 2016 compared to about negative 12% for the emerging markets index. The Developing World team is also growing its business at a nice pace. At the end of the first quarter, the Developing World strategy had $1.3 billion in AUM. The chart on slide six provides some perspective and places our newer strategies with Artisan's historical context. While I have just highlighted the early success of our Credit and Developing World teams, we know that growing a high value-added business takes time and is lumpy. The right talent for Artisan is a very scarce resource. So we have added teams at measured rate. Once we find the right talent, we are thoughtful about launching investment strategies and managing capacity. We don't launch a bunch of strategies in order to find out what will work. To launch it, we believe in it. You can see that it took the firm roughly 10 years to grow assets north of $50 billion. At that time, we were diversified across mainly three teams. Over the next 10 years, despite the big correction in 2008, we have grown to over $100 billion in assets with significant AUM in four different investment teams. We have highlighted the start dates of our three global strategies and their growth is represented by the shaded areas on the graph. When we were developing and launching these strategies, we probably used the word global as often as we now use degrees of freedom. Today, the three global strategies account for $30 billion of AUM across three different teams. The growth of the strategies took time. We expect to see our latest generation of strategies grow in a similar way. It will take time and patience. Slide seven is my final slide. It shows the diversity of our business across investment teams, distribution channel, client domicile and investment vehicles. The diversity of our business provides stability. As I have been discussing, our investment teams take differentiated approaches which means sometimes they will experience periods of prolonged underperformance. The diversity of our business allows for that. Our diversity across distribution channels also limits our exposure to trends in client and investor preference. For example, the headwinds we face in the defined contribution portion of our business today are significant and important, but the defined contribution channel is just one of the ways access clients and investors. Another phrase we often use is alignment of interest. With the development of new teams and strategies, we are also developing and modifying our distribution strategy to align with investment strategies. Coming back to degrees of freedom, we expect that private funds will be the optimal vehicle for some of our future strategies. So over time, I expect you will see private funds show up and grow on the vehicle chart just like the percentage of non-U.S. clients has grown with the development of our global strategies. That will just be another indicator of the steps we are taking to evolve our business to continue to provide clients and investors with high value-added investment strategies. I will now turn it over to C. J. to discuss our recent financial results.
C. J. Daley: Thanks Eric. Our earnings release and the financial presentation disclose both GAAP an d adjusted financial results but I will focus my comments on the adjusted results which we use to evaluate our business operations. Our adjusted results exclude the impact of pre-IPO equity-based compensation and include the impact of post-IPO equity-based compensation which is a non-cash expense. Our adjusted results reflect an increase in average assets under management during the current quarter which led to increased revenues compared to last quarter. Higher revenues were offset by increased seasonal expenses that are incurred in the first quarter of each calendar year and an increase in post-IPO equity-based compensation expense related to our January grant. Adjusted earnings per share was $0.52, down $0.01 compared to $0.53 last quarter. Taking closer look at the drivers of our results starting with AUM on slide nine. We ended the quarter with $103.8 billion of assets under management which was up approximately $7 billion or 7% compared to both last quarter and last year. The increase in the current quarter reflects market appreciation of $7.2 billion partially offset by net client cash outflows of $272 million. The increase in AUM compared to the same quarter last year reflects $10.5 billion of market appreciation partially offset by $3.8 billion of net client cash outflows. Our two newest teams, the Credit and Developing World teams had net client cash inflows in the quarter of $216 million and $16 million respectively. The U.S. Value, Global Value and Emerging Markets teams each had modest net cash inflows in the quarter. The Global Equity team had $490 million of net client cash outflows primarily in its non-U.S. growth strategy. And finally, the Growth team had net client cash outflows of $320 million primarily due to $620 million in net client cash outflows in the mid-cap growth strategy which were offset by $399 million in net client cash inflows in the global opportunity strategies during the quarter. The global opportunity strategy continues to see strong demand from clients outside the U.S. and the mid-cap growth strategy continues to face DC market headwinds. Moving on to our financial results on page 10. Compared to the previous quarter, revenues were up 1% reflecting a 4% increase in average AUM, partially offset by two fewer billing days in the quarter. Compared to the prior year quarter, average AUM was up 9% and revenues were up 6%. We experienced two basis point decline in our effective fee rate primarily the result of greater redemptions in pooled vehicles compared to longer duration institutional separate account clients. We believe that the longer duration of institutional separate account clients offset the lower fee rates yielding a better return over the long-term. In addition, we had one less billing day this quarter compared to the same quarter last year. Operating expenses excluding pre-offering related compensation expense increased 3% in the quarter primarily due to increased compensation costs which I will explain on the next slide and seasonal directors' fees strategies which are included in G&A expense. Operating expenses excluding pre-offering related compensation expense increased 7% year-over-year mostly due to increased compensation costs, technology and G&A expenses. These increases were partially offset by a decrease in third party distribution expense as a result of a shift in our AUM away from revenue share paying mutual fund share classes. On slide 11, we have broken out our compensation and benefits expenses which comprise close to 80% of our total operating expenses. Compared to the prior quarter, compensation and benefits expenses excluding pre-offering related compensation expense increased $2.6 million. As a reminder, in the first quarter of each year we incur seasonal benefits and payroll tax expenses caused by the reset of the new calendar year. Those costs contributed additional $2.7 million of expense in the current quarter compared to the prior quarter. Incentive compensation in the current quarter decreased $1.5 million due to the roll-off of employee and boarding expenses incurred in the December 2016 quarter. This decrease was partially offset by an increase in incentive compensation due to higher revenues. In addition, equity based comp expense increased approximately $1.4 million as a result of our January 2017 annual equity grant. The $1.4 million increase represents expense for partial quarter we expensed. The full quarterly expense related to this award to be $1.7 million in the remaining quarters of this calendar year. Year-over-year, comp and benefits expenses excluding pre-offering related compensation expense increased $5.8 million or 7%. Salary, benefits and payroll tax expenses increased $1.6 million due to the addition of new employees and annual merit-based increases. Incentive compensation increased $2.8 million in line with revenues. And equity based compensation was higher as we layered in the expense for the equity granted in 2017. Moving on to slide 12. In the current quarter, adjusted operating margin was 35%, down from 35.8% last quarter primarily due to higher seasonal expenses and an increase in equity based compensation partially offset by higher revenues. Compared to the same quarter last year, adjusted operating margin in the current quarter was down primarily due to increased equity based comp expense, increased compensation related to our newest team and increased technology and G&A expenses partially offset by higher revenues. Adjusted net income in the quarter was $38.8 million or $0.52 per adjusted share. Slide 13 shows our quarterly dividend history. Earlier this week, we announced that our Board of Directors declared a quarterly dividend of $0.60 per share payable May 31 to shareholders of record on May 17. After taking into account non-cash expenses, we generated cash in excess of our $0.60 quarterly dividend during the quarter. Our calculations of the quarterly cash generation estimate principally includes the $0.52 per share of adjusted earnings plus the non-cash post-IPO equity based comp expense. Slide 14 is our balance sheet highlights. Our balance sheet remains strong with a healthy cash balance and modest leverage at 0.6 times. We have $200 million of debt on our balance sheet. In August of this year, $60 million of this debt matures. Given the continued favorable interest rate environment and our ability to access the credit markets, we intend to refinance $60 million when it matures. Before I conclude, I would like to spend some time reviewing how our equity ownership has evolved since our IPO. First, I will start by saying that we believe offering active investment management requires a commitment to attracting and retaining experienced investment talent. As a result, we design and manage our business model to create an investment culture in which our talent to thrive and the interests of our employees align with those of our clients and shareholders. To that end, our investment professionals have always been the equity owners in our firm. While our quarterly revenue share has always been our primary form of compensating investment talent, equity grants provides an additional tool to reward and incentivize performance, growth and franchise development. And equity ownership further aligns the long term economic interests of our talent with those of our clients and shareholders. The firm's IPO was one of several strategies we have executed over the years to allow us to manage our business according to our foundational principles. The IPO established a structured path to liquidity for pre-IPO equity and created a mechanism for multigenerational ownership that could be shared more broadly among value producing employees across the firm. At its core, our IPO was about an ongoing alignment of interest. Since our IPO, some of our employee partners and other partners have taken the opportunity to reduce their ownership after many years without the ability to do so. We believe this is a healthy and expected outcome of becoming a public company. The amount of pre-IPO equity that employee partners can sell each year is generally limited to 15% of their ownership interest. In addition, the opportunity to exchange pre-IPO equity class for Class A common shares that can be then sold generally occurs only once per quarter. These restrictions allow us to manage the sale of our partners' pre-IPO equity in an efficient way with minimal disruption to the market. The coordinated offering of 5.6 million shares during the first quarter is an example of how we provide a measure of liquidity to many of our partners in an organized manner. Today, employees, former employees and original partners remain significant owners of the company. At the same time, public ownership has increased from 18% at our IPO to 59% today providing increased liquidity to shareholders and a stable environment for our clients, shareholders and investment talent. That concludes my compared remarks. We look forward to your questions and I will now turn the call back to the operator.
Operator: [Operator Instructions]. Our first question comes from Michael Carrier of Bank of America Merrill Lynch. Please go ahead.
Michael Carrier: Hi. Thanks guys. Eric, maybe first question just on some of the newer strategies and some of the fund structure that you mentioned. Just wanted to get your sense, you guys have, when we look at the long-term track record on the legacy products and then obviously the new products are doing well, you have like the performance there. And we see a lot of headlines on fee pressure and pricing and stuff like that. But just wanted to get your sense, when you are talking to the client base, how much kind of protection do you have when you have that performance versus maybe the average out there in the industry, that gets you in a little bit more pressure on fees?
Eric Colson: Yes. Hi Michael, it's Eric. Clearly every client is going to ask about fees. It's a pretty common question that comes up and it's been coming up for quite some time. We have been maintaining our fee schedule pretty consistently across all our strategies. I think the one thing you do see is the uptick in some larger separate accounts has been the primary asset growth and the outflows have been primary out of defined contribution, mutual fund flows which your swap being lower fees for higher fees because of mix. But when I look at our newer strategies and our current strategies, we have been maintaining our fee schedule fairly consistent.
Michael Carrier: Okay. And then, C. J., just on some of the expense. I think you mentioned on the G&A, that was just seasonal. I just wanted to make sure just in terms of the normalized level going forward and I man that just on the expense, I just wanted to clarify that.
C. J. Daley: Yes. This quarter G&A was up a bit because we have our annual grant of compensation to our directors for their annual retainer and that was the driver of the spike this quarter.
Michael Carrier: Okay. All right. Thanks a lot.
Operator: Our next question comes from Bill Katz of Citigroup. Please go ahead.
Bill Katz: Thank you very much for taking the questions. I have got a couple, if that's okay. It's been coming up on some of the last couple of calls and so thinking about, particularly given your very strong performance but inability to gather asset just given some of these headwinds you have been talking about guys. What's your thoughts on shifting to a variable pricing model, particularly given your degrees of freedom thought process and concentrated investment strategy? And if you were to do something like that, what would be some of pros and cons you can see from a business management perspective?
Eric Colson: You are thinking, Bill, of performance based fees?
Bill Katz: Right, exactly. In the mutual fund structure or separate account structure. Sorry to interrupt you.
Eric Colson: That's okay. The separate account structure, it's something that we open to and we entertain and discuss with clients. Some of the more recent accounts that we have taken on have been performance based fees. So there is a slight uptick there but I wouldn't say it's an overwhelming request. Once we get into a dialogue and go back and forth with the client on, here is our current asset base fee and here is our performance based fee, we would probably have more recently half of the larger accounts starting to move towards a performance based fee our new opportunities. And we haven't contemplated moving to a performance based fee inside of the mutual funds.
Bill Katz: Okay. And then the second question is, maybe you can just refresh on your exposure to defined contribution? And then maybe what is the headwind? Is it pricing? Is it performance? I am just trying to get a better sense of some of the incremental pressure points.
Eric Colson: The breakdown of our institutional business is about 15% of the total assets in the defined contribution. The real headwind is, in the DOL, the Pension Protection Act rule, they credit a QDIA or a default option which is primarily proprietary target date funds. Our view was that was going to open up and be more open architecture customized solutions that would include more outside asset manager such as Artisan. Unfortunately, the litigations have increased the perceived diversification of a all indexed oriented target date fund and fee pressure has spurred more and more assets going to the proprietary target date funds, especially if it's 100% passive That has lowered our expectations in the short run of the DC assets turning around. We still think over the next couple of years, you will see more and more customized solutions. But for right now, it just seems the passive solution is the safe approach right now.
Bill Katz: Okay. Understood and just two more. Thanks for taking the questions today. I know it's a busy day for everybody. On the distribution side, it looks like your non-U.S. business which has been a nice driver was a little more sluggish lately. You mentioned your focus on global, generally speaking. Can you talk a little bit about what you are doing there in trying to amplify some of the volume? And the other question somewhat related is, can you walk us through seed capital dynamics to help maybe springboard the opportunity for the Thematic team?
Eric Colson: We agree with you. The non-U.S. distribution has been strong. As we stated in the call, the launch of the three global strategies and gained up to 19% over our AUM outside the U.S. now. $With regards to continued efforts outside of the U.S., we are spending more time into the intermediary channel and broadening out our distribution especially in Europe. We think that's been going well, putting our UCITS on a few platforms and just going a little bit deeper into that channel. With regards to the seed dollars, we always put a few million dollars into the seed equity strategies and so we seeded the Thematic fund with $3 million.
Bill Katz: Okay. Thank you so much.
Operator: Our next question comes from Ari Ghosh of Credit Suisse. Please go ahead.
Ari Ghosh: Hi. Good afternoon guys. So my first one is for Eric. I really appreciate your commentary on the industry in your letter to the shareholders. I was hoping that you can expand a bit on your comments around the evolution of your distribution technology capability and specifically on technology? Do you foresee additional spend in 2017 as you buildout resources for the Thematic strategy? Thanks.
Eric Colson: Sorry, I missed the evolution of --?
Ari Ghosh: Sorry guys. I just dropped off. Can you hear me?
Eric Colson: Yes. Can you repeat the question?
Ari Ghosh: You got it. I was just hoping if you can provide some comments around just a little color on the commentary you provided in your letter around the evolution of your distribution capabilities? How that's changing maybe the partnership with your distributors as that's evolved over the past few years? And then technology in particular, as you grow out and build out the Thematic strat, are you looking at incremental costs associated with that on the technology side for 2017?
Eric Colson: Sure. I think you have seen the evolution of the distribution efforts outside the U.S. has been one of our biggest efforts. We just completed two additional hires in our London office to go deeper into that channel. We also have been evolving how we think about the wealth management section. It's cross-sectional across quite a few channels. You could look at the lower end of the institutional and the higher end of the advisory channel and we have been working as we develop our strategies that are more differentiated and higher degrees of freedom where is the natural and most interesting spot for us to focus on and it's going to be the institutional channel as well as the wealth management channel. So those are the areas that we are evolving.
Ari Ghosh: Got it. And then just as a follow-up, your global equity flows, they improved a bit this quarter and it looked like it was driven by the international growth strat. Were there any lumpy institutional inflows into the strat this quarter? Just trying to think about a run rate moving forward?
Eric Colson: No. I can't think of any large flows that would make that lumpy. The international equity strategy inside of the Global Equity team had a difficult 2016 but the first quarter of 2017 they caught back some of that. We still need to improve on that performance but nothing's jumping out on me on any big flows.
Ari Ghosh: Got it. Thank you.
Operator: Our next question comes from Chris Shutler of William Blair. Please go ahead.
Chris Shutler: Hi guys. Good morning. I guess first on the High Income team, can you give us some sense of, I know it's a little early, but what kind of institutional demand you are seeing build in the pipeline? And I guess ultimately, Eric, how do you plan to manage those assets by channel? Do you see it ultimately being fairly balanced retail versus institutional? Or is it going to tilt more to retail?
Eric Colson: Chris, the pipeline that we have for High Income we are just starting to build out. We have a few recommendations with regards to buy ratings with institutional consultants. We are spending more and more time this year to buildout the number of consultants that we can get a buy rating with. So we expect that to be the next year or twp to build out that broader consultant coverage. And timing of assets, you can never really predict, but if you put up the numbers and you get the buy ratings then the odds are on your side. And so that's the strategy for the remainder of the year. I would expect with this strategy of High Income that it would have a higher skew to the intermediary or adviser channels than some of our other strategies.
Chris Shutler: Okay. Makes sense. And then on the non-U. S. Growth Strategy, I just want to touch on that. The institutional flows there, I think, have been quite stable. Are you seeing any changes in consultant recommendations or discussions with clients that indicate any greater risk on the institutional side?
Eric Colson: No. We haven't been notified with any changes via consultant rating. If you look out, it's a fairly mature client base. If you look out past three years and looking for the five and seven and 10 years, you have strong performance. And we have delivered a good large number of that client base, given that the majority of the asset base is well past five years.
Chris Shutler: Okay. Got it. And then kind of a similar question on same strategy, non-U. S. Growth on the retail side. Is there any reason we should believe flows are going to get any better or any worse from what you are seeing right now?
Eric Colson: No. It's a small percentage. I don't think I could lean into that and answer with any direction.
Chris Shutler: Okay. And then lastly, C. J., on G&A, I just wanted to clarify the comment. So Q1 is a little higher. Are you expecting G&A to then subside a little bit over the course of the year or remain at these levels?
C. J. Daley: I mean, G&A is a category that can fluctuate. It's not going to fluctuate in large dollar amounts, but you have professional fees and travel and entertainment in there, which are hard to predict. I mean, the second quarter is usually a higher travel period and so the fact that the director fee expense will drop off, I wouldn't necessarily read into that, that G&A would drop. But that $7 million-ish range is probably a good one.
Chris Shutler: All right. Thanks guys.
Operator: Our next question comes from Robert Lee of KBW. Please go ahead.
Robert Lee: Thanks for taking my question today. A bunch of them were asked. So I am just kind of curious, with MiFID coming into place next year and non-U. S. clients and I know you have some operations over there, can you kind of update us on your current thinking on how you guys plan on dealing with MiFID expense heading next year?
Eric Colson: Sure, Rob. Today our business is managed out of the U.S. and we just don't feel that we are going to be directly subject to MiFID II requirements. And we think it's a bit early to figure out how that's going to really impact us. And at the end of the day, we have fairly small operations in London and so right now we are just taking a wait and see approach.
Robert Lee: Okay. That was actually my only question. Thank you.
Operator: Our next question comes from Alex Blostein of Goldman Sachs. Please go ahead.
AlexBlostein: Okay. Hi guys. Good afternoon. A question around capacity. You guys have been very vocal and thoughtful around managing capacity around different strategies. So taking a step back, I guess, among the strategies, the newer ones that you have highlighted, given very good performance, maybe just give a refresher on how you guys think about capacity in High Income, Developing World and ultimately what could come out of Global Thematic over time? And I guess on the other end of the spectrum, just a quick reminder, Global Value, I think, was closing or is about to close? Can you just remind us how much kind of room there is still left?
Eric Colson: Sure. The Global Value and the Global Opportunities strategies are both closed to separate accounts. So we are managing capacity primarily into the pooled vehicles. And we are right now just keeping an eye on any surge in flows. If there's a high surge, we will be mindful to manage that flow and slow it down, if not close the pooled vehicle. If we can manage a more steady state, then those will remain open for Global Value and Global Opportunities. The three new teams are quite small. And the High Income, we stated on the call, passed $2 billion in AUM. Bryan Krug and his previous employer managed a significant amount more dollars than the $2 billion. So there's obviously quite a bit of capacity and room there for increased flows. Likewise, Lewis Kaufman had a similar history of managing more than the $1.3 billion. Again that capacity could be multiples over what we are doing now. The Thematic team, obviously just launching. It's a fairly concentrated portfolio of 20, probably about 25, 26 securities today, ranging, I think, 20 to 35 over the history or on a go-forward basis in fairly liquid securities. So that strategy could handle the upper single digits on the billions of dollars under management. It's really going to play heavily into when we launch the long/short strategy and what we think the capacity of the aggregate will be. We don't have the exact numbers on what the exact capacity. It really is the total capacity number. It's the liquidity and availability of that marketplace that we are operating in. As you move degrees of freedom into those products, it sometimes opens up more capacity. And also it's the frequency of dollars moving around that also disrupts the total number. So it's not an exact science.
Alex Blostein: Got it. No, that's helpful and obviously it sounds like plenty of runway there. Just a clarification, on the Global Ops, when did that close? Maybe I missed it. But I think it's news. And ultimately remind us, Eric, in terms of just total dollars, how much do you guys think you can go up to in Global Ops as a strategy on both the separate account and pooled vehicles?
Eric Colson: Yes. We haven't stated a total amount of what we are going to go up to. We just recently informed consultants and prospects that we will be closing the separate accounts. So you might see a separate account come in, in the short run here. But we are definitely gliding to a managed asset base there. And it's getting and approaching to where Global Value is, which will really be opened in the pooled vehicle side. So we are in that glide phase to closing. So we just recently have been discussing the separate account closure.
Alex Blostein: Got it. Sorry, one more, I guess, on a related topic. I think in the past, Global Option and Global Equity in a way would almost kind of face off one another. Do you guys think that potentially could accelerate some institutional money coming into Global Equities Strategy? Or is this just a kind of completely different process?
Eric Colson: They are completely different. All of our teams stand on their own. I mean, we have always said that we are bought, not sold. And the institutional buyer and a sophisticated buyer analyzes the strategies they are looking for and then approaches us as opposed to us selling the Artisan global array of strategies. So it's a separate decision.
Alex Blostein: Got you. Great. All right. Thanks very much.
Operator: This concludes our question-and-answer session and concludes the conference. Thank you for attending today's presentation. You may now disconnect.